Jun Nishimura: I am Nishimura. I will now take you through the financial results of the fiscal year ended March 2025. I will start with highlights of the results. The full year ended March 2025 revenue was almost flat year-on-year with continued slump in the musical instruments business due to sluggish market conditions in China despite continued strong performance of B2B audio equipment and weaker yen. Core operating profit increased driven by the impact of FX, significant profit growth in the Audio Equipment business, structural reform last fiscal year and the curbing of SG&A spending, which more than offset the decline of revenue in real terms. Net income decreased mainly due to ¥14.3 billion worth of structural reform expenses, including impairment loss on piano manufacturing facilities. As for our focus for the full fiscal year ending March 2026, we expect positive revenue growth in real terms driven by global recovery in musical instrument sales despite lingering weakness in Chinese market. With regards to the U.S. tariffs, those that were in effect as of March have been baked into our focus, but there are still a lot of uncertainties. Therefore, we have not factored in additional tariffs to take effect in April and beyond in our current guidance. Next, I would like to move on to a financial summary. First with the fiscal year 2025. March results, revenue was ¥462.1 billion, core operating profit was ¥36.7 billion with 7.9% margin. Net profit was ¥13.4 billion. The exchange rate of the full year is shown in the table. I will take you through some positive and negative contributions to core operating profit. The upper table shows the comparison with the previous fiscal year ended March 2024. FX brought ¥8 billion favorable variance. The cost increase on higher ocean freight resulted in a negative impact of ¥2.7 billion and impact of weaker sales, which led to lower production, resulted in a negative impact of ¥7 billion. The structural reform implemented last fiscal year ended March 2024 generated positive impact of ¥2 billion. Fewer one-time expenses brought a positive variance of ¥2.1 billion and curbing SG&A expenses contributed ¥1.2 billion. Putting all those together, March 2025 landed at ¥36.7 billion. The bottom table shows the comparison against the last forecast. The forecast as of third quarter was ¥33 billion. Stronger sales and better model mix brought ¥1.5 billion favorable variance. Fewer one-time expenses brought a positive variance of ¥700 million and Carding SG&A expenses contributed ¥700 million. IEMC and other businesses mainly driven by sales expansion contributed ¥700 million with all those combined, the year landed at ¥36.7 billion. Here are the results by segment. For details, please refer to the slides. I will continue with the full year focus for the year ending March 2026. Revenue is ¥455 billion. Core operating profit is ¥40 billion with 8.8% margin. Net profit is ¥28.5 billion. The exchange rate assumption for the full year is ¥45 yen to the U.S. dollar and ¥160 to the euro. The impact of one year fluctuation is noted below on the right. This is a core operating profit bridge from ¥36.7 billion in the previous year to the forecast of March 2026. FX creates ¥2.4 billion negative variance. Cost increase brings a negative impact of ¥700 million, an impact of stronger sales, which led to higher production as well as model mix improvement, result in a positive impact of yen ¥3.6 billion. The structural reform implemented last fiscal year ended March 2025 brings positive impact of ¥2 billion. Ever since,[Ph] onetime expenses, brings a positive variance of ¥2.3 billion. SG&A expenses increase is a drag of ¥2 billion on profit. In addition to downsizing spending in unprofitable business areas and controlling logistics and others, the company also makes upfront investment for the future growth, resulting in overall increase in SG&A expenses of ¥2 billion. With an improvement of ¥500 million in other businesses, we are forecasting ¥40 billion core operating profit for the year. Next is segment outlook. As you can see at the bottom of the slide, the electronic device business has been reclassified from IMC and other business segment to the audio equipment segment starting from the fiscal year ending March 2026. The focus for the year ending March 2026 and the results for the year ended March 2025 shown here are the numbers after reclassifying the segment of the Electronic Device business into the Audio Equipment segment. The segment core operating profit margin forecast is 9.2% for the Musical Instruments, 8.8% for the audio equipment and 2.5% for the other businesses. I will now touch on the estimated impact of the U.S. tariffs. As I mentioned earlier, the impact of additional U.S. tariffs has not been factored in our guidance for this fiscal year. What you see here is an estimate of the impact of the additional tariffs on our business as risks. The assumption used in the estimation are based solely on the impact of the increased U.S. tariffs and do not take into account the recovery from the countermeasures described at the bottom of the slide. The tariff rate used in the estimation are 145% for Chinese products from April to June and 10% for production in other countries. And in July, when the 90-day pause expires, country specific reciprocal tariffs are set to return as announced by the U.S. government on April 3. The impact of tariff on core operating profit is estimated at around ¥14 billion. In reality, we will be taking the countermeasures described below to reduce the impact. The measures include the price optimization and cost reduction. In the first quarter, during the 90-day suspension of additional tariffs beyond 10%, we are expediting shipments of products made outside of China to the U.S. We are also expanding products with relatively low tariff rates in comparison to competitors. As for the fourth point, we will look into the possibility of transferring production from China to other countries at item level rather than plant level. I would like to reiterate that the estimates are based on the information available at this time and involve risks and uncertainty. Given that the final tariff rates, products subject to the tariffs and impact on the U.S. and other economies are still uncertain. I will now give an overview by business segment. First, starting with the musical instruments. Revenue declined in the fiscal year ended March 2025, mainly due to sluggish Chinese market despite the recovery of digital pianos. Piano sales declined significantly due to sluggish market conditions in China and softening global demand. Sales of digital musical instruments were flat year-on-year, attributable to recovery of sales of digital pianos and its market share. Sales of winds, strings and percussion declined due to the end of the financial subsidies in The U.S. guitar sales were flat year-on-year, although peripheral products struggled. For the fiscal year ending March 2026, sales are expected to recover with exception of China and we expect revenue growth. Sales of pianos are expected to increase with strong sales in other countries, offsetting the weakness in the U.S. and China. Sales of wind, strengths and percussions and guitars are expected to grow in all regions. The slide shows the revenue mix by major products. You can also find the revenue breakdown by region. Now let me turn to the Audio Equipment business. The results for the fiscal year ended March 2025 are reported under the previous segment, which combines Consumer and B2B products. The fiscal year March 2025 shows revenue growth driven by strong B2B product sales, while Consumer Products revenue declined due to downsizing Home Audio business. B2B business enjoyed double-digit growth driven by booming entertainment market. Next is the fiscal year ending March 2026. The numbers are shown under the new reporting segment, where the electronic device business is reported under audio equipment segment. The revenue is expected to decline driven by law of B2B revenue growth and slowdown in Automotive Sound System in China. Consumer business expects revenue decline due to downsizing in home audio sales. B2B revenue is projected to decline temporarily as order backlog has been converted into revenue. Automotive sound system expects a temporary decline in revenue due to the slowdown of sales to Chinese automakers. You can find the quarterly breakdown on the slide. Same here. This slide shows numbers for the fiscal year ended March 2025, both under old and new segments. Next is IMC business and others. 2025 March showed strong revenue growth driven by automotive sound system, while sales of automobile interior wood components, FA equipment and golf products declined. This is the full year forecast of other businesses under the new segment. Revenue growth is expected, driven by recovery of FA equipment. The next is other financial figures. Here is the balance sheet. I will take you through main update. First, let's take a look at asset side. Inventories stood at ¥150.5 billion at the March 2025, down by ¥13.7 billion year-on-year, out of which ¥6.5 billion comes from finished products, ¥5.4 billion comes from work in process and the remainder is attributable to FX. Non-current assets decreased by ¥58.1 billion year-on-year, attributable to the sales of strategic shareholdings and the decline in the market value of stock holdings. Non-current liabilities factor in the sales of equity securities and decline of values of stock holdings. The total equity decreased by ¥61.7 billion from last year. This is attributable to increase of net income, dividend payment and absence of ¥50 billion buyback that we did last year. The inventory asset has increased by around ¥7.5 billion from ¥143 billion forecast we announced in the third quarter. This is due to recovery of wind production that was expected to drop due to the closure of an outsourcing company. So we increased the purchase of products to be sold this fiscal year. Another factor is the amount of inventory write down that was less than originally expected. The forecast for March 2026 is ¥140 billion, but we will continue our efforts to reduce our inventory asset. Next, I will touch on ROE, ROIC and shareholder returns. First, ROE was 2.8% last fiscal year, a very poor result. We are forecasting 6.3% for the fiscal year ending March 2026, which is still below 7.4% cost of equity. With steady improvement of earnings and returning to shareholders, we will first aim to achieve ROE that exceeds the cost of shareholders' equity within this medium-term period. As for shareholder returns, the dividend forecast for the fiscal year ending March 2026 is ¥26 per share. This is based on the post stock split. As stated at the bottom of the chart, this would be ¥78 per share on the pre stock split basis as you multiply ¥26 by 3. Therefore, in comparison to ¥74 DPS in March 2024 and ¥76 in 2025 March, DPS forecast for the fiscal year ending March 2026 is ¥78. Lastly, I will comment on our strategic shareholdings, which represented 18.5% of the total equity in the fiscal year ended March 2024. As we have reduced the holding over the year, the ratio is now down to 10.1%. We will continue to reduce our holdings in the medium term. That is all for me.
Unidentified Speaker: Now let me move on to an explanation of the new medium-term management plan. The Yamaha Group has calmly examined both the achievements made and the challenges identified in the Make Waves 2.0 midterm management plan and has been striving for further transformation and growth with greater speed and flexibility. With this in mind, we have formulated a new medium-term management plan. I will now explain the details. First, I will begin with a review of the previous medium-term management plan, Make Waves 2.0. In our medium-term management plan, Make Waves 2.0, we have positioned the three years as a period for enhancing sustainable growth in the new post COVID society and have promoted various measures to respond to rapid market and environment changes. Specifically, we made progress in a wide range of areas, including developing closer ties with customers by integrating digital and real-world experiences, creating new value through Yamaha Music Connect, establishing a legal entity for our business development base in Silicon Valley, and reinforcing production framework at the lead factory to build a flexible and strong production base, thereby laying the groundwork for future growth. On the other hand, in terms of achieving financial targets, the results were very challenging. In particular, the musical instruments business struggled due to the decline in the piano business in China, sluggish sales of consumer audio equipment and losses associated with factory operation caused by reduced production, while extraordinary losses associated with structural reforms also weighted on the financial position. We deeply regret our inability to respond adequately to sudden market changes, which led to excess inventory and a decline in profitability, our failure to establish a robust supply chain capable of adequately responding to soaring material and logistics costs and our lack of mechanisms to enable speedy investment in growth areas. This slide summarizes the progress of initiatives related to non-financial indicators. During the period covered by the previous medium term management plan, initiatives related to non-financial initiatives progressed smoothly for the most part. As part of our efforts to strengthen our business foundation, the number of Yamaha Music ID registrations greatly exceeded our initial target, and the launch of new concept products were also introduced according to plan. Investment in production infrastructure has fallen short of targets, but this decision was made after careful consideration in light of rapid changes in the market conditions. In terms of sustainability, we have achieved a significant increase in the number of target countries and students for our instrumental music education support. We are also achieving steady results in our efforts to switch to sustainable materials and reduce CO2 emissions. We are also seeing progress in enabling Yamaha colleagues to be more valued, more engaged, and more committed through the increase in percentage of female managers globally and a growing number of positive responses in employee surveys regarding workplace environment, which demonstrates that we are successfully boosting energy within the company. We believe that these achievements are not merely numerical targets, but are directly linked to the strengthening of a sustainable foundation for future growth. We believe that balanced growth in both financial and nonfinancial terms is the path to long-term corporate value enhancement, and we will continue to pursue this goal. Now throughout the previous medium-term management plan, the environment surrounding us has been changing at an unprecedented speed. In addition to changes in macro environment such as economic changes, rising prices, exchange rate risks and geopolitical risks, customer values and lifestyles are diversifying and purchasing behavior is rapidly shifting online. Furthermore, technological innovation, particularly the evolution of generative AI, is fundamentally changing the way business is conducted. Under such circumstances, companies are not expected to simply maintain the status quo. It is necessary to embrace dynamic changes, respond risk flexibly, and actively utilize it as an opportunity for growth. We will take on the challenge of creating new value centering on sound and music while providing experiential value that supposes diverse lifestyles and values. With Yamaha's unique technology and sensibilities, we will continue to create a future where people's individuality will sign. We believe that the period of the previous medium-term management plan was also 3 years in which we strengthened our resolve. Based on the review of the previous medium-term management plan as was described and taking into account the rapidly changing business environment, we have been working on the formulation of a new medium-term management plan. Here, I will explain the details. Yamaha Group's corporate philosophy is sharing passion and performance. The purpose of our group is to continue creating new experiences and a rich culture together with people around the world using the technology and sensitivity we have cultivated based on sound and music. Based on this philosophy, we are now announcing a new management vision, which represents our medium-to long-term goals and the future we aim to achieve. Creating a future where people's individuality shines through the power of sound and music and enhancing corporate value through the cocreation of social value. This is the vision that Yamaha aims to achieve in the medium to long term. As the content of this initiative, first, we will pursue the possibility of new value creation in the area of sound and music where Yamaha's strength and uniqueness can be fully utilized. Second, we will consistently provide products and services, encouraging self-expression and the diverse individualities of people around the world. And third, proactively collaborate with diverse stakeholders to create new value together that contributes to resolving social issues. As shown in the image on the right, we will continue to refine the intrinsic value of our products and technology and sensibilities we have cultivated based on our sound and music, while strengthening our efforts to add more enjoyable, creative, and convenient experiences to that value. We will pursue these efforts as businesses in adjacent fields. Furthermore, we will pursue new possibilities for sound and music that contributes to resolving social issues without being constrained by existing products or businesses and expand our business domain. Yamaha is not just a product provider. As an entity that supports self-expression in a comprehensive manner, we want to continue supporting a society where diverse individuality shine for a better future. We will continue to actively pursue challenges to realize this vision. And through these efforts, we would like to clearly state here that our most important goal for the future is to enhance corporate value. In order to realize our management vision and achieve sustainable growth, it is essential that we sincerely address social issues and enhance the significance of our company's existence. Based on this approach, we have defined 10 material issues or materiality that Yamaha should address in society. As part of our business foundation, we have identified customers' technology, manufacturing, and quality. As for management foundation, we have identified human resources, DX and governance, plus environment, society and culture. These are no changes from the previous medium-term management plan regarding these 10 themes. We position these initiatives as important management issues directly linked to the enhancement of corporate value. And by integrating them into our management strategy, we aim to grow together with the society. Looking back on our current situation in light of our management vision and materiality, several issues become apparent. First, we will restore the profitability of our existing businesses to pre-pandemic levels and return to a growth trajectory. The ability to create products that meet customer needs, the ability to manufacture high quality products at lower cost, the ability to effectively communicate the appeal of products and sell them successfully, and the ability to efficiently perform staff duties in line with business strategies. Restoring these capabilities will be the top priority in the new medium-term management plan. Our initiatives are wide ranging, but we will proceed with them as part of the rebuilding of a strong business foundation. On the other hand, in order to achieve strong growth, we must cultivate and commercialize adjacent and new business areas through strategic investments for medium- to long-term growth, expand business opportunities by broadening customer use cases or create new businesses that resolve social issues through sound and music without being constrained by existing businesses. In our new medium-term management plan, we have named these initiatives Evolving to Create the Future and will accelerate our efforts to achieve them. We have adopted Rebuild and Evolve as the title of our new medium-term management plan to represent these two policies. Rebuild means reconstruction and Evolve means evolution. We choose the word evolve to express our intention to evolve to create the future, not merely an expansion of our domain, but something that will bring about qualitative changes to Yamaha's entire business. We will make every effort to implement initiatives in line with these three strategic policies, which include the establishment of a stable management foundation to support sustainable growth. These three perspectives, which form the pillars of our medium-term management plan, will be addressed from the perspectives of business, market and companywide initiatives. This slide summarizes the key themes. First, let's look at rebuilding. We will start with the rebuilding of a strong business foundation, which is the first pillar of the new medium-term management plan. Here, we will fundamentally review the existing business structure and aim to transform it into one that is adapted to the business environment and has the ideal state. Over the past few years, we have been unable to respond to market environment, resulting in a decline in profitability in some of our businesses. Based on this reflection, in this plan, we will first thoroughly review the revenue structure of the challenging businesses. In the Musical Instruments business, we will work to return to a growth trajectory by improving the profitability of the piano and guitar businesses and further strengthening the competitiveness of digital pianos and other products. In the audio equipment business, based on our reflections that the perspective necessary for B2B, such as timeless response to customer requests, had not been sufficiently reflected, we will establish a system that can respond quickly to changes in the environment and strengthen our sales capabilities. We will also further strengthen efforts to improve the profitability of our home audio business. With this foundation in place, we are confident that we can take on the challenges of the future with strength, and we will devote our full efforts to a solid restructuring. Next is Evolve, the second pillar, which is about evolving to create the future. In the musical instrument business, we will shift our focus from simply providing the value of our products to providing values based on customer success. We are committed to supporting musical experiences and creating new customer experiences that blend online and offline experiences. In the audio equipment business, we will leverage our strength while expanding our domain into adjacent areas. In addition to the automobile sound systems, which has been showing growth since the previous medium-term management plan, we will aim for diversified growth opportunities, including the entertainment field and the provision of new solutions for commercial and public facilities. We will also take a more proactive approach to investing in growing markets and creating new businesses. We believe that evolution to create the future will be a driving force behind Yamaha's next phase of growth. The third pillar is strengthening the management foundation to achieve sustainable growth. To strengthen capital and asset efficiency, we will focus on balancing investment and returns to maximize corporate value. To strengthen human capital, we will proactively implement measures to promote diversity, equity, and inclusion and develop global human resources and improve employee engagement. Furthermore, we will strengthen corporate governance and aim to establish a management system with greater transparency and fairness. Our growth strategy in the new medium-term management plan is to advance initiatives in line with these three strategic directions, while always keeping in mind sustainability, which is the source of our value. In our new medium-term management plan, we will be even more committed to achieving numerical targets and promoting initiatives. We aim to achieve 5% CAGR and ROE of 10% in the final year. These are our top management goals for the 3-year medium-term plan. In addition, we have established multifaceted KPI indicators to monitor the degree to achievements of each key strategy. As KPIs for rebuilding a strong business foundation, we have set segment specific new growth rates and core operating profit margins. As KPIs for evolving to create a future, we have set domain expansion indicators such as strategic investment amounts and new value creation indicators. In terms of management foundation related KPIs, we have set indicators for capital asset efficiency and human capital enhancement. Additionally, in terms of sustainability related KPIs, we have set target indicators for each of our initiatives in the areas of environment, society and culture. By balancing efforts to improve short-term profitability and build a strong foundation for medium- to long term growth, we will strive to achieve sustainable enhancement of corporate value. Business portfolio management will also be an important theme. Here, we have mapped out main businesses based on profitability and growth rate. However, we will clearly divide our existing business domains into those where we will strengthen initiatives to accelerate growth and those where we will focus on improving profitability and formulate strategies accordingly. Specifically, in categories such as entertainment PA and digital musical instruments and wind, strings, and percussion instruments, we will prioritize growth through further strengthening our competitiveness. On the other hand, for piano, guitar, and home audio, which are currently experiencing a decline in profitability due to environmental changes, we will accelerate structural reforms and strive to improve profitability. We will also strengthen our efforts to create new seeds for growth. In musical instruments business, we are proactively investing in musical related services. And in the audio equipment business, we are investing in mobility solutions and business solutions. We are also conducting trials of new businesses and businesses that address social issues with the aim of developing them into future pillars of our business. Through these initiatives, we will establish a flexible business structure that enables sustainable growth even in a rapidly changing environment. Now let's take a look at the first pillar of the new medium-term management plan, rebuilding a strong business foundation. During the three years of the medium-term management plan, the market environment surrounding the musical instrument business was extremely challenging. In particular, the acoustic piano suffered from a decline in demand due to economic turmoil and the changes in education policy in China, the largest market, as well as a significant decline in profit margins due to factory operating losses resulting from production adjustments. During the new medium-term management plan, we will thoroughly promote reforms to our revenue structure and strengthen our competitiveness in order to return to a growth trajectory. In the piano business, we will promote fundamental structural reforms aimed at improving profitability. Through the reorganization of manufacturing basis, which we have been working on since the previous medium-term management plan, we will significantly reduce fixed costs and increase the sales ratio of high value-added products, such as hybrid pianos, which are our strength in order to improve gross profit margin. As mentioned above, we will take steps to reduce manufacturing fixed costs by 10% and increase the sales ratio of mid to high end products by 5%. We will take solid steps to ensure profitability even in a challenging environment and achieve sustainable growth. At the bottom, we will aim for growth in the digital musical instruments business by expanding our market share. With our unique ability to reproduce the authentic sound of acoustic pianos, we will promote sales of high value-added models, while strengthening our online sales network and optimizing digital marketing. We will also enhance our presence in the mass price range and aim to increase our share of digital piano market by 3%. Next, in the wind, strings and percussion instruments business, we will aim for steady business growth by leveraging our global artist relationship. We will accelerate the development of high-end products while promoting capital investments and skill transfer in manufacturing to establish a system capable of stable supply of high-quality products with the aim of increasing our market share in the mid to high end wind instruments by 3%. In the guitars business, we will work to improve our revenue structure through manufacturing reforms and strengthen sales of mid to high end products. We are leveraging our strength in in house manufacturing to reform our manufacturing processes, thereby enhancing our cost competitiveness. At the same time, we are increasing the sales ratio of high value-added products by introducing high end products and strengthening marketing through our U.S. base. We will aim to reduce costs by 10% and increase ratio of mid to high end products by 8%. In the audio equipment business, we will promote the establishment of a structure to accelerate growth in the professional solutions domain, which continues to perform well. In the home audio business, we will work to improve profitability in the short term by focusing on high-margin categories. During the previous medium-term management plan, the professional solutions business achieved significant sales growth due to the recovery of the live concert market. Digital mixers, in particular, are highly regarded in the market. During the new medium-term management plan, we will work to expand sales of systems that include mixers and speakers. We will aim for further growth in the entertainment domain by creating manufacturing and sales structures that are optimal for the speaker business and strengthening functional integration with mixers. In the network domain, we will work with sales partners to develop solutions tailored to key markets, such as cultural and educational facilities and medical and health care, and promote their sales. Through these initiatives, we will aim for an average annual sales growth rate of 7% for the business as a whole. In the creator and consumer audio business, we will strongly promote changes in our product mix to improve profitability. First, for the growing solo or small team live streaming market, we will introduce a new lineup with enhanced streaming functions and provide applications and services that make our products more convenient to use, aiming for average annual sales growth of 9%. In the Home Audio domain, we will expand our lineup in the profitable premium segment, while focusing on sales regions and significantly reducing development and manufacturing fixed costs. We will continue our efforts to reduce the cost ratio for home audio products as a whole by 25%. In the market access, we will promote reforms toward the ideal state in China where it is necessary to respond to changes in the business environment and in Japan. In the Chinese market, we will shift our piano business strategy from focusing on sales volume to promoting added value. In the guitar, wind instrument and entertainment PA, which have significant growth potential, we will work to build a sales network with a high level of expertise. In Japan, we will improve profit margins by streamlining operations and optimizing prices, while also working with experts to increase customer numbers and expand market share, utilizing opportunities to provide experiences and strengthening promotional activities. In terms of organizational structure, we have reorganized in April to accelerate the speed of company-wide execution. We will integrate our business production and sales functions to strengthen coordination between the business functions and establish operations tailored to the characteristics of each business, thereby enhancing our customer focus and improving operational speed. Next, we will take a look at the second pillar of the new medium-term management plan, evolving to create the future. Evolving to create the future of the musical instruments business will be a transformation of the business through Yamaha Music Connect. By linking musical instruments with music related services that enhance the enjoyment, we will evolve from a business that sells products to one that sells experiences. We will design services tailored to each individual based on customer information and support improvement of performance experiences through online lessons, content marketplaces, community services and other offerings. As a comprehensive musical instrument manufacturer, Yamaha will expand business opportunities for musical instruments as a whole, including hardware, by monetizing services through rich musical experiences and expanding the use cases for musical instruments. We will actively pursue expansion of our domain in the audio equipment. First, from a current fiscal year, the electronic device business, which has been responsible for the in-vehicle audio business, has been renamed the Mobility Solution business and integrated with the audio business. By fully leveraging our proprietary music AI technology, we will provide premium customer experience while also emphasizing the powerful benefits for automakers in terms of reduced development time. We aim to expand the range of applications and achieve average annual sales growth of 6%. In the professional solutions domain, we will work to expand our domain by leveraging our industry leading signal processing and audio adjustment technologies. We are committed to providing optimal high-quality acoustics for a wide range of spaces, including commercial and public facilities, as well as integrating light, sound, and video control for experiential events centered around audio equipments. From a market perspective, we will focus on expanding our business in emerging countries with particular emphasis on India and the Philippines where we will actively invest to accelerate market development. In India, we will leverage our integrated manufacturing and sales capabilities to strengthen sales of portable keyboards and guitars. We will also work to rapidly expand sales of audio equipments to corporate customers by utilizing sales partners. In the Philippines, where we established a sales company two years ago, we will significantly increase the number of sales locations, including experience-based stores and accelerate market development. Regarding the creation of new businesses in areas other than musical instruments and audio equipments, we will establish an open innovation system that brings together internal and external expertise and promote not only the commercialization of internal ideas, but also the creation of new businesses through collaboration with external partners. In terms of external partnership, we will strengthen our existing businesses through collaboration with third parties utilizing Silicon Valley's Yamaha music innovations and promote outside in business development through CVC investments. This slide summarizes the main domains in which we will focus our efforts to develop new businesses in the future. At Yamaha, we see sustainability as a source of value and we want to use the power of sound and music as well as the technology and sensibilities we have cultivated through our business to contribute to solving social issues. The three perspectives we place particular emphasis on are people, society, and the Earth, forming connections through music, offering safety, peace of mind by having music, and to realize global resource circulation to ensure that music culture and musical instrument culture remain sustainable. Through these initiatives, we will pursue new possibilities for sound and music and expand our business domains. Finally, I would like to discuss the third pillar of the new medium term management plan, which is strengthening our management foundation. First, to improve capital and asset efficiency, we will strengthen our ROIC tree analysis and actions by business and quickly raise ROIC, which fell significantly in the previous medium-term management plan to the level of weighted average cost of capital. We will promote stricter inventory management to improve asset efficiency and reduce cross share holdings, thereby enhance the overall soundness of our balance sheet. We will allocate cash generated from operations in a balanced manner to strategic investments in growth areas and new business developments as well as to shareholder returns. We will strive to manage our business with a keen awareness of capital costs in order to meet the expectations of our investors and achieve long-term growth in corporate value. With regard to business portfolio management, we will evaluate the consistency with the management vision, and we aim for the future business potential and profitability and the meaning of our holdings from the best owner perspective and introduce a management process for a regular review. In particular, we will visualize ROIC per business and actively invest in areas with high profitability and high growth potential and strategically review areas where competitiveness has declined including downsizing and withdrawal. Through these initiatives, we will strive to improve profitability and capital and asset efficiency, thereby achieving sustainable growth in corporate value. In order to achieve sustainable growth, it is essential to make maximum use of the capabilities of our group employees. We have positioned the strengthening of human capital as one of our most important themes, and we will continue to create an environment where people with diverse values and backgrounds can thrive. We will promote the transformation of our human resources portfolio through initiatives such as fostering a creative and challenging organizational culture, establishing a system to strengthen organizational capabilities and encourage individual growth and establishing a human resource management system linked to business strategies. Enhancing corporate governance is also one of our key initiatives. As the business environment becomes increasingly complex, there is a growing need to further enhance management transparency, fairness and speed. Yamaha has been strengthening the functions of its board of directors and increasing the ratio of independent outside directors, and we'll continue to implement measures to further enhance its effectiveness. We will also continuously review our internal control system and effectively promote risk management and fraud prevention. Through these initiatives, we will respond to the trust placed in us by our shareholders and all other stakeholders and strive to achieve sound corporate management. Through rebuilding our business foundation and evolving to create the future, we will pursue growth in revenue and core operating profit. This slide shows the growth targets for the entire company and for each segment of musical instrument business and audio equipment business. On a consolidated basis, for the fiscal year ending March 2028, which is the final year of the medium-term management plan, we will aim for consolidated revenue of ¥520 billion, core operating profit ratio of 13.5% and ROE of 10%. This slide shows the factors of growth in revenue and core operating profit. In terms of sales growth rate, audio equipment surpassed musical instruments, resulting in balanced growth in terms of the rate of increase. In terms of core operating profit, increase in the musical instruments will be significant due to the recovery of profit margins for musical instruments, which declined during the previous medium term management plan. The CAGR by region is shown on the right with emerging countries such as India and the Philippines driving the growth of the entire company. That concludes my brief explanation of our new medium term management plan. Yamaha will continue to work with various stakeholders to engage in business activities that enable people around the world to express their creativity and bring out their individuality that shines. We look forward to your continued support of Yamaha. Thank you very much.
End of Q&A: